Solange Dennin: Good morning. On behalf of Telecom Argentina, I would like to thank everybody for participating on this conference call. The participants of today's conference call are Roberto Nóbile, Chief Executive Officer; Gabriel Blasi, Chief Financial Officer; Fernando Balmaceda, Director of Investor Relations; and myself, Solange Dennin, Manager of Investor Relations. The purpose of this call is to share with you the results of our fiscal year 2020 and fourth quarter ended December 31, 2020. If you have not received our press release or presentation, you can call our Investor Relation office to request the documents or download them from the Investor Relations section of our website located at www.telecom.com.ar. This conference call and presentation is being broadcasted and can also be replayed through our investor website at institucional.telecom.com.ar/inversores. If you'd like to go over some -- I would like to go over some safe harbor information and other details of the call. We would like to clarify that during the conference call and Q&A session, we could mention certain forward-looking statements about Telecom's future performance, plans, strategies and objectives. Such statements are subject to uncertainties that could cause Telecom's actual results and operations to differ materially. Such uncertainties include, but are not limited to, the effects of ongoing industry and economic regulation, possible changes in the demand for Telecom's products and services, the effects of potential changes in general market and/or economic conditions, in legislation and the impact of the outbreak of COVID-19 on the global economy and specifically on the economies of the countries in which we operate, as well as on our operations and financial performance. Our press release dated March 9, 2021, a copy of which was included in Form 6-K and sent to the SEC, describes certain factors that may affect any forward-looking statements that could be mentioned during this call. The company has reflected the effects of the inflation adjustment adopted by Resolution 777 of 2018 of the Comisión Nacional de Valores, CNV, which established that the re-expression will be applied to the annual financial statements for intermediate and special periods ended as of and included December 31, 2018. Accordingly, the reported figures corresponding to fiscal year 2020 included the effect of the adoption of the inflationary accounting in accordance with IAS 29. In this presentation, we will also include figures in historical values which are easier to understand. Our press release is complemented by our earnings presentation. The audience should read the disclaimer contained in Slide 1 and 2 and -- of the presentation. The agenda of today's conference call is described in Slide 3 and includes our business and financial highlights. We will end the call with a Q&A session. Now let me pass the call to Gabriel, our CFO, who will start with the presentation.
Gabriel Blasi: Thank you, Solange. Good morning, and welcome to everyone. Moving to Slide 4, which shows a summary of the company figures as of December 2020. During the fiscal year 2020, Telecom's revenues totaled $3.6 billion, revenues measured in constant pesos decreased 6.5% year-to-year. EBITDA totaled $1.2 billion, implying 34.1% EBITDA margin, which has been on the high side despite a challenging 2020 due to COVID-19. Our mobile subscribers in Argentina amounted to 18.7 million, decreasing approximately 228,000 when comparing with the previous quarter due to a decline of around 540,000 in the prepaid segment which were partially offset by an increase of more than 315,000 clients in the postpaid segment. Broadband and pay TV clients have maintained the number of clients during 2020, totaling around 4.2 million and 3.5 million, respectively. Fixed voice subscribers without considering IP telephone lines amounted 2.9 million. Thanks to our successful commercial strategy focused on the bundling and upselling of our product, we currently have 2.7 million convergent unique customers and 45% of our broadband customers have a mobile bundle. Slide 5 summarizes our main achievements during 2020. Our network has performed very well during last year and will continue to do so in response to the higher demand of mobile and fixed connectivity. Thanks to the investments in infrastructure done in the present year, Telecom has the equipment and systems that allows its network to perform efficiently, supporting important increases in home internet data traffic, mobile voice and data services, combined with a pretty strong growth in upstream traffic. Our business has proven to be very resilient during a challenging scenario. We have been able not only to refinance our financial debt, but also to maintain our CapEx to sales ratio according to industry standards, resulting on our historical EBITDA margin of plus 30%. The company's objective is to be 100% digital. We are not only converting our systems in order to integrate all our operations, but also creating an ecosystem of platforms leveraging on connectivity, which allows us to manage and upscale products and services focusing on the digital and convergent customer experience and on the B2B business. In addition, we are working on a series of business initiatives such IoT, our own fintech and Mi Negocio Personal, all of which will allow us to increase revenues. OpEx before G&A has been strongly reduced substantially by almost 9% in real terms, thus allowing us to achieve a strong EBITDA margin. Our collections and bad debt have been normalized at historical levels. During 2020, we refinanced $777 million of debt and $200 million of debt with different financial institutions. Our bond maturities in June 2021 was changed to 2025 bond, and our [indiscernible] was refinanced. We have been on the few Argentinian companies achieving such a financial performance in terms of both improving our capital structure and extending debt maturities. All of our cash of about $500 million was due to canceled debt with external creditors and intercompany loans. On Slide 6, we summarize the competitive advantages of our products, services and platforms that allowed us to successfully respond to the higher demand of our services during 2020. Telecom's leadership in Argentina telecommunications market is leveraged on 3 main strategic assets, broadband Flow, our IP TV service and mobile. Our broadband network is the fastest and has the best coverage all over the country, achieving average speeds of more than 60 megabytes per second, increasing our brand Fibertel and 100 megabytesfor our xDSL product, reaching 65% of homes passed over total homes in Argentina. Most of our network technology is HFC, which works in speeds 1 gigabyte per second and is available on our HFC network. We are also deploying -- redeploying FTTH to upgrade our copper network. Flow is our IP video platform that has evolved into a super content aggregator, allowing client to access videos as well as gaming and other famous streaming services. We have incorporated a full digital subscription to Flow for our Fibertel clients, called Flow Now allowing clients to enjoy full features without the need of network at home. Our brand for mobile Personal is the fastest 4G mobile network in the country with the best 4G quality in terms of consistent quality, availability, video experience and download/upload speed. In addition, we have finished the deployment of the first series of 5G mobile sites in the cities of Buenos Aires and Rosario with Huawei and Nokia Technologies. This has allowed us to achieve an increase in the net mobile portability and postpaid market share. In Slide 7, we highlight our digital transformation projects and new business initiatives. Regarding our main BSS Transformation project FAN, we have continued with our migration process. All of our prepaid customers have been migrating and more than 10 million clients are active in the CRM system. We have also completed the migration of 550,000 postpaid clients in February 2021. Switch is our new digital channel front-end and includes e-commerce and self-service solutions, which gives our B2C customers a convergent experience. During 2020, we have launched the first releases of the app and web versions of the platform. Our cloud foundation project aims to integrate the different cloud platform with telecom processes in order to achieve additional efficiency, process automation and business flexibility. We have also implemented a payment microsite hosted in the AWS cloud and uploaded electronic wallet for our fintech initiative. During 2020, Telecom was the first company in the world to successfully implement S/4 HANA Central Finance with Central Payments and Credit Management. On July 1, we have completed the digital core implementation and post go-live support has been done. Mi Negocio Personal is our e-commerce platform that allows different entrepreneurs to digitalize the commercial experience of their businesses and to perform sales in a personalized way through the social networks of their choice and with rated forms of payment. We also began to develop a fintech business, which consists of providing mobile financial services to clients in Argentina through our subsidiary Micro Sistemas. In December 2020, we obtained the first version of the platform that will allow us to provide safe service. Finally, we have also created a new company called Personal Smart Home, which provides IoT services such as monitoring, security, digital interconnection and home automation in the houses built in cities and private companies. Slide 8 summarize the regulatory events related to the telecommunications industry during 2020. During March 2020, the Executive Power issued a decree, which determined the temporary suspension of the interruption of fixed and mobile telephony, Internet and cable TV services in the case of nonpayment until the end of September 2020. This decree was then extended until December 2020. In May, due to COVID-19, our industry has agreed jointly with ENACOM to freeze the tariff of our products until the end of August 2020. On the other hand, all companies in the agency were not required to freeze tariffs until August 2020. In August, Decree 690/2020 extended the price freeze until the end of 2020. The Decree also declared ICT services as an essential public service. In December of 2020, ENACOM issued 2 resolutions. Resolution #1466 authorized price increase by 5% on all ICT services is effective as of January 1, 2021. It also established that any further price increase must be informed and submitted to ENACOM for approval 60 days in advance. Resolution 1467 determining a series of basic universal services that should be provided by the operators for mobile, broadband, pay TV and fixed call services. The services spanned for individuals, beneficiaries of social programs and nonprofit entities, all of which must fill and submit an application form to the ENACOM. During February 2021, a preliminary injunction requested by a representative of the cable TV/subscription-based broadcasting industry of the Province of Córdoba was accepted by a federal judge to order the suspension of the Decree 690/20 and Decree 311/20. The judge also ordered the Executive Power and the ENACOM to abstain from pursuing any measure based on said Decrees until the National Supreme Court decided how to proceed. Moving to Slide 9, we present the price adjustment performed as of January 2021. As of January 2021, we have made the following adjustment on to the prices of our services. In mobile, prices of the plan with 1 gigabyte of data has been increased by 5%, while those with more than 1 gigabyte mobile data have been increased by 20%. Broadband, the prices of services were increased up to or equal to 25 megabyte per second, mainly Fibertel services have been raised by 10%. Prices of services with higher than 25 megabytes per second increased by 20%. Prices of pay TV services, including premium services such as HABO have increased by 20%. The price of subscription has increased by 25%. Prices of fixed voice-based service were increase by 5% and Argentina led services by 20%. Slide 10 shows our product evolution in Argentina. Mobile segment, postpaid subscribers have increased 4.1%, while prepaid subs have decreased 4.8%, increasing our postpaid market share. Fibertel, our customer base increased 1.7% year-over-year, mainly growing in the HFC and FTTH segments. Pay TV ARPU, pay accesses have grown 0.9% year-over-year, mostly leveraged by our Flow platform. Fixed voice ARPU, the reduction of accesses has continued, mainly in traditional fixed copper lines, while Fibertel IP accesses have been increased by more than 220,000. Slide 11 shows the evolution of our revenue -- service revenues. Service revenues totaled almost ARS 284 billion, decreasing 6.3% in real terms versus fiscal year '19, in a period when inflation reached 36.1% year-over-year. Our revenue breakdown as of December 2020 shows an increase in mobile revenue share and a lower share of growth on our pay TV revenues. The breakdown results are as follows: mobile revenue, 38%; broadband revenue, 21%; pay TV revenue, 20%; fixed telephony and data revenues, 15%; equipment sales revenues, 6%. Our main drivers of growth in mobile and broadband are as explained on following Slide 12. We have been able to keep almost constant our customer base and growing the usage of our products. Postpaid mobile and broadband are the 2 main pillars of our performance. As of December of 2020, postpaid subscribers amounted to 43% of our total customer base. The chart in the upper-left shows the competitive landscape wireless per month during 2020. Personal is in blue color, positive numbers showing current clients and negative numbers show clients lost again to competition. As mentioned, we have updated the positive net inflow, which has been mainly supported by our convergent offers to pay TV and Internet subscribers that were not mobile clients of the company before. Mobile Internet usage has also increased, reaching an average of more than 4.3 gigabytes per user per month in 2020. We have continued increasing the speed and capacity of our broadband customer base, leveraging on our strong HFC network and responding to the higher usage of our fixed networks. Our clients have been migrating to the more efficient one. In addition, there has been an important increase in broadband speed. 59% of our total subs have speed between 50 and 1,000 megabytes per second compared with 41% in 2019. In Slide 13, we show the evolution of our Flow product and how we have been able to increase its penetration. Flow is our IP video platform, which has reached 70 million views during the fourth quarter of 2020. 5 million devices have been connected and clients have used Flow for an average of almost 7.7 hours. We have more than 1.2 million of Flow boxes inside home. And almost 1.4 million Flow box has shown in our improvement in the network digitalization. Slide 14 is a summary of our operation in Paraguay. We consider our presence in Paraguay, Núcleo as a driver of growth given our strong market share. Paraguay is improving economic situation too, Núcleo's ability to finance itself in the local market and the implicit hedge in dollar that we have, since there are no restrictions to convert guarani's local currency into U.S. dollars. Núcleo generated $190 million and $83 million in revenues and EBITDA, respectively, during fiscal year 2020. Revenue breakdown was as follows: browsing services, 43%; voice, almost 20%; data almost 10%; broadband 9%; TV service, 7%; and other services were approximately 11%. As of December 31, 2020, mobile customers totaled 2.2 million; clients of Billetera Personal, a mobile financial service that our subsidiary provides, reached more than 310,000. Fixed Internet services subscribers amounted to 135,000. In the pay TV segment, Flow customers totaled 23,000 and in Personal HD 60,000. The fixed network deployment in the main cities of Paraguay has been increasing rapidly reaching 455,000 homes passed. Additionally, Núcleo's Internet subscribers totaled 135,000 increasing almost 3x versus the last quarter of 2019. I will now pass the call to Fernando Balmaceda, who will go our financial performance.
Fernando Balmaceda: Thank you so much, Gabriel. Turning to Slide 15, we show the evolution of global inflation. As of December 2020, the year-over-year increase in inflation has been 36.1%. During the fourth quarter of the year, inflation has accelerated to 11.3%. The breakdown that we are including shows that the share of communication services, the CPI amounts to approximately 2.8%. Communication services during 2020 have increased by 7.6% according to the official National CPI data published by the INDEC. Slide 16 shows that during fiscal year 2020, consolidated revenues on nominal terms grew by 33%, reaching almost ARS 257.3 billion. When analyzing said figures adjusted by inflation, revenues amounted to almost ARS 301.6 billion, showing an increase of 6.5% in the real terms. Service revenues showed a 33% nominal increase in a context where prices have been frozen for the most part of 2020, being mainly driven by mobile revenues, which grew more than 1% in real terms when comparing fiscal year 2020 with fiscal year 2019. EBITDA increased by 36% year-on-year in nominal terms, thus generating an EBITDA margin of 34.3%. EBITDA margin in real terms was 34.1%. The company performed well in real terms -- well in terms of cost control. Operating costs before D&A decreased by 9% in near terms versus fiscal year 2019. The company achieved an aggressive cost reduction. Slide 17 shows the company's EBITDA evolution and the impact of the reduction in operating expenses. There was a positive contribution to the EBITDA margin due to the reduction in handset costs, which decreased 24% in real terms, mainly to a lower sellout. Operating efficiencies have been obtained both in programming and content costs and also due to the elimination of segments, mainly related to sports. General fees, maintenance and material expenses have been reduced due to an optimization in the consumption of materials associated with our daily activity. Commissions and advertising expenses have also been reduced. Interfinancial costs increased in real terms, mainly due to the lower influence, while bad debt expenses also increased above inflation. The final result was 160 bps increase in any time real terms when compared with fiscal year 2019. Slide 18 shows the evolution of our collections and nonperforming debt. Collections through digital channels have increased to 67% of our total collections and now are at normal levels in terms of our collection periods. Please recall that our delays in collections was almost 30% at the beginning of the lockdown period back in March 2020. The general level of our nonperforming debt has increased during the last quarter of 2020, 1.3% as of December 2020. Slide 19 shows that the company's operating income totaled almost ARS 20.3 billion, EBIT has decreased 6% in real terms. Operating margin in real terms was 7% of consolidated revenues, very stable when compared to last year. When considering the historical figures, the same margin has increased to 20% from 18% in fiscal year 2019. Our net loss for fiscal year 2020 was ARS 5.1 billion, decreasing by 3.6% when comparing to last year's, mainly due to a reduction in income tax, which was partially offset by higher losses related to the net financial results. Slide 20 is a summary of the company's CapEx. During fiscal year 2020, CapEx amounted to more than ARS 55 billion or an equivalent of $662 million at the official FX rate. This amount is 37% lower when compared to last year's CapEx. We have almost finalized most of our system adjustments and improved our infrastructure during the first 2 years after the merger. Our CapEx program will continue evolving according to Argentina's economic condition, network performance and customer requirements. Technical CapEx were mainly composed of installation and customer premise equipment, or CPE. The balance was allocated to network and technology, and 2 of our international operations in Paraguay and Uruguay. During the fourth quarter of 2020, 89 new mobile sites were deployed and the capacity and security of more than 200 existing sites was upgraded. Moreover, we continue to increase the capacity of our HFC access network, mainly through segmentation and division of areas. Additionally, 1,800 blocks were enabled with FTTH, fixed access technology. In February 2021, we have begun with the deployment of 5G mobile sites in Argentina, which allows connection speeds up to 10 gigabytes per second, having a response 100x higher than the 4G networks. This new technology allows the client to connect multiple devices at the same time. Slide 21 describes our cash flow generation during 2020 when compared with the same period of 2019. As of December 2020, the operating free cash flow amounted to approximately $583 million. The reduction in CapEx mainly explained the additional $52 million in free cash flow when compared to the previous fiscal year. EBITDA in constant U.S. dollars remained relatively stable. Slide 22 shows our figures for fiscal year 2020 in constant measuring units. Company's revenues amounted to more than ARS 301 billion, while EBITDA amounted to almost ARS 103 billion. EBITDA margin was 34.1%. Our gross debt amounted to almost ARS 200 billion, decreasing 3.3% when compared with December 2019. The company's cash and short-term investments amounted to more than ARS 25 billion, mainly composed of cash and equivalents and investments in local mutual funds and other short-term investments. Net debt amounted to approximately ARS 174 billion. Our net debt-to-EBITDA ratio was 1.7x. During 2020, the company has canceled $200 million of debt and refinanced more than $770 million of its financial debt. Slide 23 shows the liability management transactions that the company has done during 2020. On August 6, 2020, Telecom has concluded an exchange offer of its outstanding 6.5% coupon notes due in 2021. Holders validly tendered $362.2 million of notes due 2021. The acceptance rate was 77.74%, high enough to demonstrate our solid credit profile and attractive proposal to note holders. An additional amount of $135.4 million of notes due 2025, new money, was raised to repay our loan with Deutsche Bank AG London branch and CPPIB Credit Investments Inc. The company finally issued $388.9 million of new amortizing notes due 2025 with an 8.5% semiannual coupon. On September, the company successfully refinanced its loans with IFC and IDB Invest for an amount $329.3 million. In the case of the IFC loans, 85% of the principal to be repaid in 2020 and 2021 was extended between 24 and 84 months. In the case of the IDB Invest loans, 85% of principal to be repaid in 2020 and 2021 was extended between 24 and 66 months. The company repaid almost $40 million of the loans mentioned above, optimizing its capital structure and extending its maturities. In Slide 24, we describe our latest financing transactions. We have successfully completed 2 bonds issued in Argentinian pesos in December 2020 for an amount of almost $120 million equivalent in 2 tranches, and in January 2021 for an amount of approximately $100 million equivalent. Additionally, in December 2020, the company excludes an import financing for an amount of CNY700 million, equivalent to around $100 million and expandable up to is CNY1.4 billion equivalent to $200 million with the China Development Bank, or CDB. As of December 31, 2020, approximately $3 million was in force under this financing. The increase in the final amount of such financing will be subject to an insurance from the China Export & Credit Insurance in which we're currently working on. Slide 25 shows the breakdown of our financial debt. Total outstanding debt as of December 2020 amounted to more than $2.3 billion. Our debt profile and capital structure has improved significantly after the exchange of our 2021 notes and the refinancing of our IFC and IDB loans. Our dollar-denominated maturities for 2021 amount to approximately $150 million, while the rest is composed of peso-denominated debt. For 2022 and 2023, our debt maturities remain within the range of $500 million and will then be reduced considerably until the maturity date of our 2026 notes. I will now pass the presentation to Solange for the final remarks. Thank you very much.
A - Solange Dennin: Thank you, Fernando. With this, now we are more than pleased to answer any questions you may have. However, before we start, we'd like to remind you of how you can address your questions during the Q&A session, which will be opened immediately. (Operator Instructions) The first question that we have received is from Marcelo Santos with JPMorgan, that said, will you please comment more on the wallet initiative? What is the current size in users? What are the features currently enabled? Additionally, he asks, are the prices increases adopted by Telecom enough to sustain margins, perhaps, coupled with efficiency increases?
Roberto Nóbile: Hello, everyone. This is Roberto. Going back to the first question regarding the wallet. Today, it's a project. We have put in place an NBP product that is already running. We are launching this application by June, by mid-2021. We already have more than 4 million prepaid wallets between brackets. These are customers that will constantly and in -- with high frequency, they will put money into this wallet between bracket and use it on a prepaid basis. So we are trying to leverage on prepaid. We are trying to leverage on our 2 million customers that use our fidelity club what we call Club Personal, where we give out prices and discounts with certain shops for our major customers. So we're trying to leverage our wallet on prepaid, on Club Personal, and of course, on all the transactions that we do within our own ecosystem. We have our own marketplace, where we have millions of transactions. Gabriel mentioned Switch. Switch is a new platform, a digital platform that we put in place, and it's working, and it's already producing a lot of synergies and new revenue streams for the company, and we're going to leverage on that. The project is in place. We are launching that in June probably.  On the second question regarding if we can keep the margins either by inflation adjustment or synergies, we are looking for both things. What we -- we are confident that we will be able to adjust our prices by inflation, probably not always looking backwards. We will be trying to catch up inflation. That has always been the idea, and we are confident that we will keep on doing that as long as we are still working on synergies. The improvement in EBITDA margin last year was partially done with these synergies that are part of all the plans and all the things that we are working on, trying to put the 2 big companies into 1, and we have been very successful in doing that. So I assume that we will keep margins at the right level, and that will allow us to keep investing as much as our customers need.
Solange Dennin: Thank you, Roberto. The following questions came from [indiscernible]. What percentage of mobile clients use over 1 gigabyte of data and what percentage of broadband clients have over 25 megabyte speeds? The second question is what are your plans and date for further price increases for the remaining 2021? What were the drivers -- another question, what were the drivers of mobile and broadband subscriber loss for the third quarter of 2020?
Roberto Nóbile: I will start with the last one, and we'll look for the right information on the first one. The loss is due to -- during the pandemia, the government decided to freeze any type of -- we were not able to disconnect any customers during the pandemia. So we've been dealing with customers with more than 6 or 7 invoices due, and we were not able to disconnect them. By the end of the year, that decree was not renewed. So we were able to work very hard on those customers trying to negotiate a payment. And for those that didn't pay, we decided to go forward with the disconnection. So the loss is due to that. It is due to the after-pandemia program. The second question regarding the inflation -- the adjustment of prices. We have already talked about it. Most of our, I would say, more than 90% of our customer, 95% of our mobile postpaid customers are over 1 giga. And that is the number. On the prepaid, we have like probably almost 100% are already above 1 giga. So we don't see -- I mean, our customers are using the mobile Internet very heavily. And that's why we were able -- because of all the investments that we did before the pandemia, we were able to keep the service running and being as long as open signal another -- other third parties agencies are telling us that we are the best service provider -- mobile service provider in Argentina. So that's the real thing. In terms of Internet, 70 -- more than 70% of our customers are over 20 megabytes. Those that are not over 20 megabytes, I can tell you that it is because they are on copper networks, probably networks that we need to upgrade through investments, and that will take longer if the conditions of Argentina keep the same.
Solange Dennin: Thank you, Roberto. The following question came from [indiscernible]. Can you please provide more details on the CapEx plan for this year, also on the perspective for 5G rollouts?
Roberto Nóbile: Thank you for the question. We have several, I would say, plans for the CapEx of 2021 and it's the same thing that we did in 2020. We have a plan. We know exactly what to do. We have a strategy behind the plan of investment. But we need to make sure that the conditions and the payback of that investment is right there in place at the moment of investing. So last year, we were very cautious and until we have the precedent condition that was the refinancing of the debt of the 2021 bond, up to that moment, we were very, very cautious and trying to keep the CapEx at a very low rate. As soon as we have the -- a perspective of the near future that was good for the company, we keep rolling the CapEx, and we were able, for the most part, do almost $700 million in investments. That was the plan. But we -- if you take a look into the quarter-by-quarter basis, we were very cautious at the very beginning, and then we accelerated at the end. This year, we are doing the same thing. We have set a minimum CapEx of maintenance. Maintenance means making sure that we can have the CapEx for the churn, for new installations and on the turnover that we have on the CPEs investment. As long as the maintenance -- the minimum CapEx that we have to do on the networks to make sure that our customers do not suffer any problems in connectivity. That CapEx is around -- between $350 million and $400 million, $350 million probably is the right number. And on top of that, Fernando also mentioned that we have renewed the vendor financing with [indiscernible] that turns into Nokia. We have the new financing from CDB for new equipment. And we also keep and renew the vendor financing from Cisco. So we are also leveraging on our partner -- technical partners to move forward with the CapEx. But obviously, we will do that if the conditions of the Argentine economic situation are good enough to make sure that the payback will be there. So $350 million -- between $350 million and $500 million could be that minimum and maximum. And if we are going forward with the adjustment of prices together with the inflation, we could probably think of going a little higher. But we will do that as soon as we feel confident that we can keep investing. On the 5G, we have launched 5G DSS, that means dynamic spectrum sharing. Our core is ready 45% -- almost 50% of our radios are already prepared for 5G all across our coverage. We have put in only 10 sites on DSS. We -- in our plan for this year, we have more than 250 sites deployed on 5G. That investment, obviously, is on hold, and it will depend how do we move forward depending on adjustment to the prices, the economic situation and also the customer base on 5G devices, that right now is very low due to our economic situation also.
Solange Dennin: Thank you, Roberto. The follow-up question came [indiscernible]. Would you please comment on the current status of the average discounts across products? Are they below the 60% we have seen last year?
Fernando Balmaceda: Yes. The evolution of the different discounts that the company provides reached a peak during last year. But by the end of the year, it decreased reaching about levels of 30%, 35% of the customer base. But that's the total situation. Today, in the range of 30%, have some type of discount. Remember that due to the regulatory environment, the figures are not absolutely comparable. But we have a group of customers that were pushed to [indiscernible]. For those customers that were put to [indiscernible] because they didn't pay, the company has the campaign, providing certain additional financial relief to them, and we have recovered almost 70% of our customers to the customer base of the company.
Solange Dennin: The following question came from Alejandra Aranda. How should we think about pricing strategy and increases during 2021? And if you could give us some guidance in terms of cost.
Roberto Nóbile: Alejandra, I think we have talked about trying to keep prices adjusted by inflation. Always looking backwards, trying to catch up inflation. And in terms of costs, we are pushing cost at the minimum. We are confident that we will be able to sustain margins stable. The only cost that will be difficult to keep below inflation probably will be the labor cost. The government is pushing unions to move with inflation despite the price freeze, and that is something that we need to work on, and we are already working on. But that could be the only cost that will move with inflation or just a little below inflation. The rest of the costs are under control, and we will keep them under control. So we are working on maintaining and sustaining the margin rate.
Solange Dennin: Thank you, Roberto. The following question came from [indiscernible]. How do you plan to comply with the extension of Central Bank Communication "A" 2106 considering the remaining maturity of Class A notes 2021?
Gabriel Blasi: I'll take it. Well, regarding our maturity of the bond 2021, as we have refinanced more than 80% of the 1 last year, there remains, mainly the $100 million that we have to pay this year is not reached by this regulation in terms of the [indiscernible] specifically allowed payments to the debt that has been refinanced during 2020 with that condition, meaning that we can access to the -- absolutely free to comply with this term. It's important to address that the only significant maturity that we have in this year is [indiscernible]. Because the rest of the maturities are local or minor and so we have no pressure on digitalization. Regarding our maturity in 2022 from a total outstanding of $516 million that we have maturing next year, only $140 million which is part of our term loan with our core banks, it's reached by -- theoretically, might be reached by this type of regulation, if Banco Central decides to move it forward, and we don't think that it's going to be difficult for the company to refinance this with its core bank because hearing that we have decrease in 2 years of $1.5 billion of outstanding to only $140 million of debt and also because these are the relationship banks of our business. Having said that, we are increasing our presence in the local capital market with different type of instruments to be sure that no financial stress is there. Also, I think it's important to recall what Fernando has mentioned is that we have already granted a credit line of up to $200 million subject to considerations with CDB, which have only used $20 million up to now.
Solange Dennin: So going to the following question. The following question came from Guilherme Haguiara, BBI [ph]. Has ENACOM or the National State appealed the exemption with spend provision of Decree 690? What's your view on price regulation going forward?
Roberto Nóbile: The ENACOM, of course, has appealed. That appeal is underway. And we are confident that the injunction is still in place and in full force. So that's -- and we believe that we will start taking notice of new injunctions coming from different courts. Moving forward, as I mentioned, we are confident that we will be able to go back to the pre 690 Decree, we are confident that we will be able to suspend that.
Solange Dennin: Thank you, Roberto. The following question, I believe, you touched -- partially answered from [indiscernible]. Can you walk through in more detail about the regulatory process of pricing about 5% under the provision 1466? How frequently would you be able to raise prices this year?
Roberto Nóbile: Thank you for the question. Right now, the ENACOM has -- I will say something before that. On the appeal of ENACOM against our own injunction, for example. In that appeal, the ENACOM defined that they were not able to determine prices. They have no power to define or determine or put in place prices for the industry. That was written by the own legal department from ENACOM. Despite that, they issued several resolutions, implemented a 5% increase in January, a 7.5% increase in February for the mobile customers and another 5% for the fixed in March and a 2.5% increase in the mobile for March. In the mobile, by March, you already have 15% increase authorized by ENACOM and only 10% increase in the fixed services. That -- and there is no -- according to what we know, there is no idea how ENACOM will allow further increases in prices throughout the year. I mean there is no process already in place. There is no idea how they will do that. We believe and we're confident that we will have the right to increase prices adjusted by inflation throughout the year because of our appeal, not because of ENACOM allowing us, but just because a court will allow the industry to move forward.
Fernando Balmaceda: Just a clarification regarding the question about the discounts. I am not sure if I set it out properly. The average discount today is on the 30% on the total customer base affected by this type of pricing.
Solange Dennin: Thank you. The following question came from [indiscernible]. A follow-up question, [indiscernible] how are the company's plans for expanding operations and diversified businesses in Uruguay and Paraguay?
Roberto Nóbile: As you have seen throughout 2020, we have invested a lot in Paraguay. We have increased our fixed network coverage. We have moved from 30,000 customers on broadband to 135,000 customers in broadband by the end of December 2020. So our idea of expanding our businesses outside Argentina are in place, are there. We're committed to investing in Paraguay, which is our operation and a very good operation with a very high margin. And if you compare our margins with our competitors, you will see that we are -- we have been very successful in that. In Uruguay, we are taking a close and very reasonable look at the possibilities. There are still some things that the government has to solve, that's the new -- we need to understand how the new policy or the new legal framework or regulation for the industry will come out after Congress debating the new telecommunication law. So we are waiting to see how it come out from Congress, what -- and incumbent will be able to do or not, working based or not if there is a convergence between fixed and mobile is one thing. If that's not allowed, the value creation is different. So we will take a look, but we will wait and see also.
Solange Dennin: And we have the last question from [indiscernible], which says any news regarding new spectrum for 5G from ENACOM?
Roberto Nóbile: No. There's no -- any leads. We should see in the future, 5G spectrum coming up and the remaining 4G spectrum coming out. We don't see that in 2021, basically because the industry is concerned of investments and also concerned on the payback of those investments. If we take a look at the previous bid, in 2014, '15, Telecom paid more than $500 million for the spectrum for 4G spectrum with a very clear close, saying that, that bid was making sure that all the companies will have the free access to price -- determination to price adjustments and that is not occurring now. So the same government is going against the bid and -- what was signed and offered in the last bid. So there are things to solve. I think that the 690 Decree is a problem right now. And I don't see new spectrum coming out very soon. It is something that the industry needs a spectrum if we want to move to 5G and new services. But we need to make sure that the context is good enough for new investments.
Solange Dennin: Thank you, Roberto. As we have no more questions, we would like to thank everybody for participating in our quarterly conference call. Please do not hesitate in contacting our Investor Relations department for any further inquiries you may have. Good morning to all, and have a nice day.